Operator: Ladies and gentlemen, thank you for standing by, and welcome to the James River Group Q1 2020 Earnings Call. At this time, all participant lines are in a listen-only mode. Later, we'll conduct a question-and-answer session and instructions will follow at that time.  As a reminder, this conference is being recorded. I would now like to hand the conference over to your speaker today, Mr. Kevin Copeland, Head of Investor Relations. You may begin.
Kevin Copeland: Thank you, operator. Good morning everyone and welcome to the James River Group first quarter 2020 earnings conference call. During the call, we will be making forward-looking statements. These statements are based on current beliefs, intentions, expectations, and assumptions that are subject to various risks and uncertainties which may cause actual results to differ materially. For a discussion of such risks and uncertainties, please see the cautionary language regarding forward-looking statements in yesterday's earnings release and the Risk Factors section of our most recent Form 10-K, Form 10-Qs, and other reports and filings we make with the Securities and Exchange Commission. We do not undertake any duty to update any forward-looking statements.
Adam Abram: Thank you, Kevin. Good morning everyone and welcome to our first quarter conference call. I'm joined by Sarah Doran, our CFO, and Bob Myron, our President and COO. I'm going to kick the conversation off with comments about the quarter and observations about the potential effects the combination of COVID-19 and the potential significant recession might have on our company. Sarah is going to be talking about the quarter in depth, and then Bob, Sarah, and I will happily address questions at the end of Sarah's remarks. First, let me say we were able to effect a smooth transition to remote working with very little disruption. All of our employees have been able to maintain connectivity and to continue processing business at the same or higher rates than prior to when we closed our offices. I believe we remain highly responsive to our producers and to claimants. Additionally, and very importantly, our internal communications remain strong and we've been able to underwrite accounts with the same thoroughness as prior to leaving our offices. We all tip our hat to our IT teams, which have been proactive, efficient, and creative, and to our HR group as well, which has been very helpful in arranging and coordinating the disbursal of all of our people. We're particularly grateful that as up this moment we know of no COVID-19 illnesses among our employees. Of course, many friends and associates around the country and relatives of our colleagues have been affected, and our hearts go out to everyone who is suffering from the physical, emotional, and financial effects of the virus. Turning now to our financial results for the quarter, we believe our results reflect the strength of our franchise as well as the early stages of disruption in the economy. Freed from the burden of the large commercial auto account that we had come to - that had come to so heavily influence our results, our E&S division grew 37% in core lines at rates incorporating 13 consecutive quarters of rate increases. In the most recent quarter, the rate increase was 12.9%, which was the second highest of all the sequential periods. The growth was spread across the entire E&S book with 11 of our 12 E&S underwriting divisions reporting higher gross written premiums. Submissions in E&S grew 20% in the first quarter, and while we are aware of the warning signals for the general economy, we are pleased and even a bit surprised to see that our submissions in the month of April had exceeded those from April 2019, as have our gross written premiums in this segment, and rates remain very positive.
Sarah Doran: Thanks, Adam. Let me highlight a few of the financial points from the quarter. Last night, we reported first quarter operating earnings of $0.50 per share and adjusted - annualized adjusted net operating return on average tangible equity of 11.6%. While net earned premium declined due to the October 2019 cancellation of what was formerly our largest account, it grew about 48% in our core E&S business as compared to the first quarter of 2019 and otherwise held steady throughout the balance of the group. Let me jump right into investments. Unrealized losses on the portfolio drove our net loss for the quarter. For the last 11 years, we have been invested in a diverse portfolio of externally managed senior secured bank loans, representing over 120 credits with no individual position larger than $4 million in market value. The portfolio does not have any meaningful sector or credit concentration, no exposure to the oil and gas sector, and has provided a meaningful return and attractive contribution to our investment portfolio. We have approximately $10 million of common equity risk outside of that portfolio, but in our entire investment portfolio and have chosen to take measured risk here given the attractive risk return profile. Effective January 1, 2020, new accounting rules applied addressing current expected credit losses, otherwise known as CECL. With these new rules, we elected to report our bank loan portfolio at fair value with changes reported through the income statement, but excluded from operating earnings. Previously, the portfolio had been accounted for at amortized cost net of an allowance for any credit losses. Given the market volatility this quarter, this portfolio especially experienced greater volatility than it has in the 11 years that we have been invested in this asset class. It had unrealized losses of $43.9 million for the quarter. As of Tuesday's close though, the portfolio had recovered meaningfully, $6.4 million of additional value coming to it since quarter-end. Following the first quarter, we made the decision to meaningfully reduce our exposure to bank loans by selling into the rally in this asset class. While we like the asset class and we will remain invested in bank loans, we are reducing our exposure to the class in order to damp down volatility. Apart from the bank loan portfolio, it's worth noting that our fixed income portfolio has also improved significantly since quarter-end. The portfolio was in an unrealized gain position of $29.8 million at quarter end, and through this Tuesday, the unrealized gain position grew an additional $21 million. Our investment grade portfolio does not have any material exposure to the hospitality or the oil and gas sectors. It's worth a reminder that the overwhelming majority of our investment portfolio is reported in the quarter it occurs. This quarter, we earned $20.8 million in net investment income, an increase of 7% from the prior-year quarter. The increase largely resulted from the October 2019 addition of what is now $1.1 billion of restricted cash that was previously held in a collateral trust off-balance sheet. These funds are now invested in short-term securities. Given the severe decline in short-term rates during the quarter, we would expect that these assets will generate less investment income in future quarters. Also, as mentioned last quarter, we continue to return balances to our former client when the account is determined to be over-collateralized, which we expect to continue for the next few years as the runoff runs its course. Finally, moving on from investments, this quarter, we posted a loss ratio of 66.4% and an accident year loss ratio of 65.8%. The decline from 73.1% accident year loss ratio in the first quarter of 2019 was also due to the cancellation of the large commercial auto account, which had been written at a much higher loss ratio than the rest of our small account, casualty-focused core E&S business. We have obtained attractive renewal rate increases in core E&S each quarter for over two years now, as Adam reported, and reported losses have remained benign for multiple quarters in that book. Core E&S now makes up about 95% of gross written premiums in the E&S segment as compared to about half of the segment in the first quarter of last year. As Adam mentioned, we have received a handful of COVID related claims, but given our policies and exclusions, which he went through in detail, we did not put up an additional indemnity estimate related to COVID for the quarter. We did not experience any material reserve development in our commercial auto line. The runoff of what was formerly our largest account is performing well within our expectations. While we continue to receive new claims for events that occurred prior to December 31st, 2019 when we canceled the account, we are pleased with the pace of runoff. The number of reported claims has slowed and we are successfully  claims for fair value. At the end of the first quarter, open claims for all years of the account represented 3.5% of the total reported claims for the account. I reported to you last quarter that at the end of last quarter, all claims - open claims for all years of the account then represented 5.2% of reported claims, and as of the fourth quarter of 2018, open claims for all years of the account represented 7.2% of all reported claims. So the decrease is good as we move through the runoff block. Of our approximately $1.35 billion of total group-wide net loss reserves on balance sheet at quarter-end, approximately $350 million of this supports the runoff block of business and it remains close to evenly split between case in occurred, but not reported reserves. We had adverse development of about $1.8 million in our Casualty Reinsurance book, but a portion of this was offset by sliding scale commissions, which come through the expense ratio. A majority of the development related to treaties we no longer write and we also had about $1 million of favorable reserve development from our individual risk workers' compensation book. Moving to expenses, the expense ratio increased to 34.2% this quarter as compared to 22.6% in the first quarter of last year. As discussed in prior quarters, the cancellation of the large commercial auto account had an impact on both accident year losses and expenses, as it was written with very low commission expenses. While not reflected in our first quarter results, as Adam mentioned, we are actively reducing our expenses and expect to meaningfully reduce cost through the remainder of the year. Lastly, and I promise I'm almost finished, I will note that we drew down most of our unsecured bank facility capacity in mid-March, prior to the start of the Federal Reserve intervention. We did this purely from a precautionary stand, given where we saw broader market volatility at that time in the treasury market. The $119 million of additional drawn capacity remains on our balance sheet as a precautionary measure. Late last year, we had expanded our syndicated facility and renewed it for five years. Our balance sheet liquidity is strong and credit metrics are within the parameters of rating agencies and other counterparties. Our thoughtful debt to capital mix utilizes a number of hybrid issuances and we do not have any maturities until 2034. And with that, I'll turn the call back to Adam.
Adam Abram: Thank you, Sarah. And operator, let's take questions, if there are any.
Operator: Thank you.  Your first question comes from the line of Mark Hughes from SunTrust. Your line is open.
Mark Hughes: Yes. Thank you very much. Good morning.
Adam Abram: Good morning.
Mark Hughes: Adam, I appreciate all the detail on your policy language. You had mentioned April, I think, you said the submissions were up in April, gross written premium was up year-over-year. I think later on, you talked about strong growth in premium in March and April. Would you apply the strong additive to April or any way to frame up what you're seeing in April?
Adam Abram: I really don't want to front-run this too much, Mark. I would - just would say that honestly, as you look around the economy and you think about the number of people who are unemployed, and really disturbingly so, just Sarah and Bob and I were talking yesterday about thinking about airports, for example, and how many people are out of work there, we would have anticipated a much faster reversal in premium, but that's not what we've seen so far. As I said, and I don't want to get into too much detail about this, but submissions are up and the April premium was more than last year's April premium. I do not anticipate that continuing for the year. We are thinking about the rest of the year as having good rate and maintaining the positive rate structure that we have and that we've earned over time because if you think about the losses that may be coming into the insurance industry, difficulties some companies are having, we know, with placing reinsurance et cetera and just the general capacity crunch. We think rates will remain good, but we think that the economy is weak, and so that will be a balance and we're going to manage to that and get to that high single digit, low double digit ROTE.
Mark Hughes: Anything you can say about what you've seen so far in terms of cancellations or requests for...
Adam Abram: The cancellations have not been a factor yet, but I would anticipate that is - I would anticipate they could, in the industry, become a factor. And we have thought about that in terms of - ourselves in terms of how we recast the rest of the year.
Mark Hughes: And then in the E&S book, what would you anticipate for the ceded premium ratio? I think you've been, as I understand it, writing more excess casualty, you cede more of that premium. Would we assume that to hold steady similar to Q1?
Sarah Doran: I would think, Mark - I know this is a question that we had last quarter too. This quarter, in the E&S book, it's always difficult with mix, but one of the strongest signs of growth we had in that book was our excess casualty line, which almost - which I think more than doubled from the first quarter of last year. So that had an outsized effect in pushing up the ceded ratio. I would expect that we would see - we would have a cede between kind of 20% to 30% of that book, which is pretty consistent with where we've been, perhaps a little bit lighter than what you saw this quarter.
Mark Hughes: Thank you.
Operator: Your next question comes from the line of Matt Carletti from JMP.
Matthew Carletti: Hey, thanks. Good morning.
Adam Abram: Good morning, Matt.
Matthew Carletti: Adam, I was hoping you might be able to give us a little color on just what you - a little more on the commercial auto runoff book, and what I'm thinking is, we've heard - we have heard in the industry generally on open claims, across a number of lines, workers' comp  practice, so on that already there is some impact from the recession in the sense that settlements being maybe a little lower than expected, there is a need - some people have a need for cash now versus holding out for a bigger number. Just curious kind of if you're seeing any of that, if that's playing into kind of the settlement values where you're closing these claims out at or if not, if that's something you would expect as we move forward.
Adam Abram: I'm going to pitch to Bob in just a second on that issue, but before that, let me just say, look, we are and we always have been committed to settling each claim at fair value for the claim, and I think it's important to say that because I would not want anybody to think that we are just somehow taking advantage of a situation. Having said that, and I did say this - that I'm not going to keep us updated on this, but through Bob's leadership and our claims teams' leadership, we've reduced the number of outstanding claims from that commercial auto account by 25% during the period. Bob, do you want to comment further?
Bob Myron: Yes, sure, and good morning, Matt.
Matthew Carletti: Good morning.
Bob Myron: Yes, we're definitely seeing opportunities, more opportunities to settle in and some more willingness to settle on the other side of these open claims, and that starts with all the court closures and some of which have dates in which they may reopen and some of which do not. And so some cases that maybe were scheduled to go to trial or arbitration have been - the dates have been kicked way out or there is no date that is coming up. And so - and as Adam said, we've continued to focus on working to settle claims at fair value, but definitely have been a lot more opportunities to settle claims, I think, in the - given the uncertainty around when there might be trials and arbitrations as well as the state of economy and all of the parties on the other side of the transaction and sort of their willingness and/or potential need to sort of get cash now versus cash later.
Matthew Carletti: Okay, great. Thank you. And then one quick - just to revisit a number for Sarah and your comments on the investment portfolio. I caught the - I think it was $21 million kind of rebound in fixed income. Can you repeat what you said on the bank loans? I caught $6.4 million, but is that the rebound from the March 31 level or did I that catch that number right?
Sarah Doran: You got that right. Unrealized, that's right, yes.
Matthew Carletti: Okay, great. That's all I got. Thank you. Best of luck going forward.
Adam Abram: Thanks, Matt.
Sarah Doran: Thank you.
Operator: Your next question comes from the line of Randy Binner from B. Riley. Your line is open.
Randy Binner: Good morning.
Adam Abram: Good morning, Randy.
Randy Binner: Hey, good morning. Yes, just a couple of follow-ups and I may have missed some of this because I came in late, but I guess just - Adam, you said that you had bar and tavern risk of 10% of the book. Were there other categories you outlined that are kind of higher exposure to the economic shutdown?
Adam Abram: I'm sorry, I missed the first part of your question. It just - it faded out from me. Can you...
Randy Binner: Yes. It's Randy Binner from B. Riley, and beyond bar and tavern at 10%.
Adam Abram: Yes, bars, restaurants and taverns are 10% of our book in the E&S segment.
Randy Binner: Are there other kind of acute categories that are exposed to the economic shutdown that you outlined?
Adam Abram: Yes, of course. We write small and medium-sized businesses, we write contractors, right? We - for example, contractors are a meaningful class for us and there may be less work for them. Look, I think if - we would expect, we would anticipate that the premium level that we enjoyed in the - the increase in premium level we enjoyed in the first quarter will abate in the second, third, and fourth quarters. I just don't think we're going to be able to maintain that rate of growth. Even though, through all the way through March, and as I indicate - just gave a gentle indication that April was also very positive, but we anticipate that will abate and abate significantly and so we've recast our expenses, we've recast our forecast, and we think we'll get at the end of the day to a high single-digit, low double-digit return on tangible equity. The one thing I would say is that, while we go down, E&S recovers quickly. That is to say it's an early recovery - recoverer when you come out of a recession in the E&S industry because all new - basically most new businesses and many small businesses, especially if they do come back into the E&S fold. So I don't know whether this is an L, a U or whatever it is. We don't have crystal ball with regard to that, but I think we'll do fine this year, and if we start a recovery, that will be a - we will be the first to experience positive results from a recovery.
Sarah Doran: Hey, Randy, I just want to clarify because I think we had a hard time hearing the beginning of your question, I apologize, but the 10% that Adam referenced in his script was bars, restaurants, taverns, hotels, motels, everything that we think about being most impacted by the shelter-in-place right now. I just wanted to make sure we're .
Adam Abram: Thank you. That's an important addition, right. It's broader.
Randy Binner: Okay. Yes. Thank you.
Adam Abram: Yes. Thank you.
Randy Binner: Got it. And then just one on the Uber runoff, the 3% figure, Sarah, that you shared. That number is kind of open claims as a percent of all reported claims. Now that you've not renewed that book, can there be further claims that come out of the book thinking is this - is that open percent of the all reported basically only going to go down, and if there is any tail left in that run-off, can you outline how that may be affected by less driving activity?
Sarah Doran: Sure. Well, it's a couple of things and then I'm happy - Bob, would you like to?
Bob Myron: Yes. So Randy, I don't think we're going to get a benefit from reduced driving activity because the way the policy works is, we don't have any exposure for - or way the cut-off worked, we don't have any exposure for any accidents or activity after December 31st. There isn't a tail in earned premium and therefore sort of a tail of the exposure. So any new claims that we would be getting reported would be related to accidents that happened December 31st and prior. So that's the first point. We have still seen some level of claim activity from 2000 period so to speak, but it's really slowing down to a trickle, given what I just described previously. So I would fully expect that that percentage of claims outstanding road of the total claims received is going to continue to drop.
Randy Binner: That's perfect. Thanks a lot.
Operator: Your next question comes from the line of Meyer Shields from KBW.
Meyer Shields: Thanks. Am I coming through?
Adam Abram: You are.
Meyer Shields: Good morning. How are you?
Adam Abram: Fine. Thank you.
Meyer Shields: Is there any way that we can relate the, I guess, restricted cash on the balance sheet to the outstanding claim count for the terminated commercial auto accounts?
Sarah Doran: Yes. I - the way that I think about it, Meyer, is it's not necessarily a binary relationship. I do think about that runoff block of business and really more so the assets that we have on balance sheet being around for about, call it, two years and it will decline. It's declined over $100 million during the course of a quarter. So I would suspect that that is - that's going to be a lumpy pace because it's going to depend on collateral needs and other factors, but we are currently thinking that that collateral likely winds down with the runoff block over about two years.
Meyer Shields: Okay. No, that's perfect. That's helpful. When we anticipate slowing premium growth, should we - I'm trying to think the best way to phrase this, should we assume that the - any mid-policy term adjustments to exposure units for premium written in the first quarter will be - there'll be a negative associated with that in coming quarters?
Adam Abram: I don't - it differs - there are differences across our book. Basically for GL, most of that premium, unless there is a very early cancellation, will stay with us and earn through. So I think the biggest impact on premium is - would be, if there is a significant decline in new written policies or - then I think you'd see a decline, but there are - generally - and there are formulas for each line of business and different - and their different arrangements, but generally, we will be holding along and will have earned most of the premium we've reported to you.
Meyer Shields: Okay. That is very helpful. One technical question, I guess, for Sarah. The ceded minimum premium accrual within Specialty Admitted, was that a reduction to earned premium or was that booked s a loss?
Sarah Doran: It's a reduction to earned premium.
Meyer Shields: Okay, perfect. Thank you so much.
Sarah Doran: Sure. Thank you.
Operator: Your next question comes from the line of Seth Rosenberg from UBS. Your line is open.
Seth Rosenberg: Hey, guys. Thanks for the call. I'm just stepping in for Brian here. I guess, first, obviously the color was great on the COVID risk exposures as we see them now. One follow-up there, and thinking about some of the legislation that's been proposed or implemented around presumption clauses, particularly for workers' comp, how might you think about the potential incremental exposure there? You described contractors in California. Is there any risk of them being considered frontline employees of that nature?
Adam Abram: Well, I think this that anybody who ever tells you there is no risk, probably he doesn't have a lot of experience in the insurance business. We are tracking this very carefully. And I will tell you that in the states that we've paid most attention to because of concentration of premium, the initial proposals seem to be moderating pretty quickly. That is to say there was a first suggestion of a very automatic or a very high level of - very high burden on the insurance companies to assume and take these risks, but that's quickly being reduced as those thoughts are going through the legislature and others that are weighing in. So do - I do not - generally, for example, I would say that contractors are not a highly exposed class for COVID-19 at the current time, and we feel comfortable with those risks. The other thing I'd point out to you is that, for us, for example, in workers' comp, our retention is substantially lower today than it was a year ago and it was lowered in advance of the COVID-19 eruption.
Seth Rosenberg: Got it. Okay, that's helpful. And then - I'm not sure of the fair way to phrase this question, but you described that there's a lot of - there so far have been some claims that have come in that just clearly are covered based on the terms of the contract, but could you may be give us a sense what is it - what's the cost associated with reviewing, denying, potentially litigating claims that aren't valid just on average?
Adam Abram: Well, I don't think there is an average cost that I can quote you for that, but I will say that many of these will be - look, we, for the last many years, have been handling thousands and thousands of claims, which needed to be individually assessed and evaluated as for coverage and it was complicated because the coverage was different by state, they were making complex claims that had to be - where facts had to be investigated. So this is nothing new from our point of view. Now, the very strong provisions of our contracts will allow us to quickly screen COVID-19 claims that may emerge. I mean, for example, a COVID-19 claim on one of our general liability policies, which is the majority of our policies issued would be general liability policies, and our pathogen and viral and communicable disease exclusions there, I think will make - in general, each case has to be investigated and the facts have to be understood, but I think it will make it a fast process for those.
Seth Rosenberg: Okay, that's very helpful. Sarah, just one last one for you. I guess, as we're thinking about going forward, E&S, it was helpful commentary that 95% of this segment is core now versus 50% a year ago, but could you may be give us comparable E&S expense and loss ratios for the next three quarters from '19, just - so we can think about the - and track the performance there?
Sarah Doran: Yes. I mean, I think as we mentioned on the call - Seth, it's a good question. We are working to get our expense ratio down. We haven't seen that show up in the first quarter. I think you'll see that in the next three quarters as we do that. It needs to happen throughout the business and you'll see it probably mostly in E&S just because it's our largest business, therefore has the largest sense of expenses. So I expect the expense ratio in E&S to go down a couple of points just because that's mathematically the only way that we get our overall expense ratio to go down to the low 30s. So I think that's pretty reasonable. I also think the loss ratio is, I expect that to be about where it was this quarter. So, I am not - that will shift a little bit on any given quarter due to mix, but I'm not otherwise anticipating a big delta to the expense ratio in E&S over the course of the year. I'm anticipating a reduction in the expense ratio.
Seth Rosenberg: Okay, great. That's very helpful. Thanks, guys.
Operator: Your next question comes from the line of Mark Hughes from SunTrust.
Mark Hughes: Yes. Thank you. Sarah, how much do you think investment income will be impacted by the lower short-term rates when we think about the 2Q, for instance? What's the delta on that?
Sarah Doran: Yes. It's a great question, Mark. I think at the beginning of the year, the returns that we were getting on that portfolio, given where the treasury market was, were in excess of, call it, 125, 150 basis points and now the short end of the curve is kind of sub 50 basis points. So just given our balances there, that's going to have an impact. I talked about that we're actively looking to sell out of a piece of the bank loan portfolio as well. So I think that's going to have an impact. So I expect that investment income would - just given the - on the face of those two comments, would decline over the course of the year. I don't typically give a guidance number around NII, but those are the two pieces that I think about it.
Mark Hughes: Okay. And when you think about the GL pricing and you've gone through a period here where there is very little revenue in some of these businesses and presumably GL pricing is influenced by revenue. How do you make those underwriting and pricing decisions in the circumstances like this? Do you look at the former run rate? How do you approach that?
Sarah Doran: In GL pricing, we certainly look at the reported losses and how the book is developing, and then we just look at the rates and opportunities and kind of price those on an individualized basis depending on what's coming at us.
Mark Hughes: I was just thinking...
Sarah Doran: I'm not sure if I missed the part of your call. I was just looking for something else and I think I might have missed the first part of your question.
Mark Hughes: Yes, the question was really more at a kind of a policy specific level, how you would price general liability policies if you're looking at someone who's not really been operating for a couple of months, say, does that influence your pricing or do you just kind of assume they return to the former run rate?
Adam Abram: So pricing, there are two parts of it. So you're assuming someone - and I want to make sure that I'm answering your question. So someone has been out of business, let's say. Let's say they folded their business, Mark. I think that may be a premise of your question. And now they're restarting a business, is that right?
Mark Hughes: Yes.
Adam Abram: Yes. So, typically they are going to fill out a new application. We certainly, if we've seen them before or they provide the information, will be aware of what their business has been. There is a minimum charge for the limit. And then typically, we make an estimate based on what they tell us they're going to do. There is a minimum charge for the limit that's a 100% earned, and at the end of that policy term, the audit in general can only increase their premium, not decrease it. Am I answering your question?
Bob Myron: Let me just layer in a thought, Mark. So - and all of that pricing is going to be based upon some measure of unit exposure like their expected revenues, for example, right? So - and we're going to have a rate for that based upon what is in the submission for their expected revenues going forward. So I think that we may see lower revenue numbers from some of those insured as these policies come in new or renewal, but I don't think that it's going to impact the price per unit of exposure that we're going to be charging. I think that there still is positive momentum from a rate perspective in that regard. And there is a few factors at work there, but there - one of the things certainly is that, as yields on investments continue to go down, I think that that is obviously a positive for insurance pricing because you've got to make money on underwriting because you're not going to make a lot on your investment income float. And I think another - many of our - still some meaningful number of our divisions and classes, there is a shortage of capacity in the industry. Certainly in excess casualty, certainly in habitational risks within our general casualty division, we are still seeing very, very strong demand for our product and - because of business still coming in from the admitted market or capital departing this area or bad underlying loss experience in the recent past.
Mark Hughes: That's all very helpful. Thank you.
Operator:  You have a follow-up question from Meyer Shields from KBW.
Meyer Shields: Yes. Just a quick question for Adam. One of the theories that we've heard is that, as small companies are unfortunately put out of business, there is an increased likelihood of D&O claims against them from other companies with whom they've been doing business. Can you talk about that as potential exposure to the recession?
Adam Abram: We have not seen - I have not seen, in past recessions, and we've ensured many businesses that have gone out of business over multiple years, I have not seen a lot of D&O claims registered against the businesses that we write GL accounts for. That's just not been a phenomenon that has really - where we've seen that. Our average premium is $23,000. These are not generally public companies. These are privately held enterprises where the owners and the directors are often the same people.
Bob Myron: Yes. And I just want to add, our professional liability book is - across the group is really pretty small, and then in E&S, it's really an E&O book for smaller private companies, lawyers, architects, engineers, that type of thing. And that - we really haven't seen a lot of growth there. It's a reasonably small book of business. And so you may be asking more from an industry perspective about this. I think our exposure to the part is really quite small.
Meyer Shields: Okay, fantastic. Thank you for clarifying.
Operator: I'm showing no further questions at this time. I would like to turn the conference back to Adam Abram, Chairman and Chief Executive Officer.
Adam Abram: Thank you, operator. And thank you everybody who's joined and expresses an interest and does work following our company. We very much enjoyed the dialogue and appreciate your interest and your help in making our company. We look forward to speaking to you again and hopefully soon being able to join you in person in the conferences when it's safe to do so. And we hope very much that you and all of your colleagues and your families remain safe. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating and have a wonderful day. You may all disconnect.